Operator: Good morning, ladies and gentlemen. And welcome to the Q2 2021 Shutterstock, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Mr. Chris Suh, VP, Investor Relations and Corporate Development.
Chris Suh: Thank you, Phyllis. Good morning everyone and thank you for joining us for Shutterstock's second quarter 2021 earnings call. Joining us today is Stan Pavlovsky, Shutterstock's Chief Executive Officer; and Jarrod Yahes, Shutterstock's Chief Financial Officer. Please note that some of the information you will hear during our discussion today will consist of forward-looking statements, including without limitation, the impact of COVID-19 on our business, the long-term effects of investments in our business, the future success and financial impact of new and existing product offerings, our ability to consummate acquisitions and integrate the businesses we have acquired or may acquire into our existing operations, our future growth, margins and profitability, our long-term strategy, and our performance targets. Actual results or trends could differ materially from our forecast. For more information, please refer to today's press releases and the reports we file with the SEC from time-to-time, including the risk factors discussed in our most recently filed 10-Q and our annual 10-K for discussions of important risk factors that could cause actual results to differ materially from any forward-looking statements we make on this call. We'll be discussing certain non-GAAP financial measures today, including adjusted EBITDA and adjusted EBITDA margin, adjusted net income, adjusted net income per diluted share, revenue growth including by distribution channel on a constant currency basis, billings and free cash flow. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures can be found in the financial tables included with today's press release, in our 10-Q, which are posted on the Investor Relations section of our Web site. Finally, please refer to the brief information that we posted on our Web site that contains supporting materials for today's call. With that, I'll turn the call over to Stan.
Stan Pavlovsky: Thank you, Chris. Good morning everyone and thank you for joining Shutterstock's second quarter 2021 earnings call. We're happy to report that the company has seen another strong quarter in terms of growth. This morning, I'll be discussing the key drivers of growth. However, before doing that, I'd first like to talk in more detail about the exciting announcement that you saw this morning in connection with the formation of Shutterstock.AI and the acquisition of three AI-driven creative intelligence platforms.  As a backdrop, in previous quarters, I've spoken about Shutterstock’s three strategic pillars; workflow innovation, fresh and relevant content and data and insights to drive performance. Shutterstock.AI and its three acquisitions represent a very important and tangible advancement with respect to our plans for data and insights. This is a major milestone for us that will reshape our product offerings and ultimately our addressable market in the years to come.  In broad terms, Shutterstock.AI will offer two discrete solutions; predictive performance and computer vision solutions. The acquisitions we announced this morning relate to our predictive performance offering, which will be rolled out to both e-commerce and enterprise customers gradually over the next 6 to 12 months. We believe that our predictive performance offering will address a major customer pain point by delivering actionable data-driven recommendations.  These recommendations will be embedded in a comprehensive, yet intuitive workflow that enables customers to test, analyze and optimize their content prior to deployment. With these acquisitions, Shutterstock will be able to score our content library to predict performance. As a result, marketers will no longer be guessing or solely using intuition in selecting their content for campaign or other marketing purposes, but rather they will have predictive insights baked into our offering.  This means that Shutterstock customers can pick and choose within our content library with the benefit of predictive insights that will help drive performance for them. These insights will be delivered via either general models, which will not rely on any customer specific campaign data, or custom models, which will leverage an individual customer’s historic campaign data. Lastly, the Shutterstock predictive performance solution does not rely on third party cookie-based identity data, since it relies on contextual targeting. I'd like to talk more specifically about our three acquisitions and the critical components each company contributes. On a combined basis; Pattern89, Datasine and Shotzr will help us deliver on our vision for predictive performance. Each company represents an important piece of the overall puzzle.  Pattern89 is an Indianapolis-based company. Customers rely on Pattern89’s SaaS solution to analyze past campaign data, predict future campaign performance and optimize their media spend in real time, rather than relying on A/B tests or educated guesses.  The analytics are focused on a myriad of creative dimensions, such as colors used, texts sentiment, presence of people and presence of specific objects. Pattern89 is a product led organization and its platform provides Shutterstock with a frontend workflow and a backend campaign data feed alongside strong product and tech talent. Datasine is based in London. Datasine is particularly strong in areas such as machine learning and natural language processing, which drive the analytics on the backend to understand and optimize the creative elements of an ad. These backend strengths are highly additive to Pattern89’s frontend in terms of both technology and talent. We are excited about the combination of these uniquely complementary platforms.  Last but not least, Denver-based Shotzr has built a repository of survey data, which informs the company's proprietary audience models. These audience models will allow Shutterstock to generate what we call resonance scores, which are predictions on how well a particular digital asset will resonate for a given audience segment.  Unlike Pattern89 and Datasine, Shotzr doesn't need specific customer campaign data to generate its predictions. This is particularly critical in addressing the cold start problem in instances where a customer may not yet have a deep dataset of historic campaign data. I'm extremely excited for the advancement against our product roadmap that these three acquisitions represent. I look forward to updating you on our progress on our data and insight strategy in the quarters ahead.  Now that we've reviewed our predictive performance offering and the three acquisitions that power that offering, I want to turn to computer vision. Helping AI models see and understand digital imagery is a large and growing market. Today, a number of our customers are looking to train their own AI models for use cases, such as self-driving cars and robotics.  To that end, Shutterstock’s computer vision offering leverages and commercializes our extensive dataset, which includes a collection of more than 400 million images, videos, music tracks, and 3D models and associated metadata. In short, Shutterstock has built a proprietary process for tagging assets over our 17-year history, which gives us one of the richest datasets in the marketplace, which we continue to enrich. Switching gears to revenue and overall demand environment. Digital marketing spend is exhibiting continued strong momentum across channels and use cases. SMBs, large enterprise corporates and agencies are all spending again with an eye on growth and new customer acquisition. The result for Shutterstock was revenue growth of 19% in the second quarter and constant currency organic revenue growth of 12%, a meaningful acceleration. Subscriber KPIs were exceptional with subscriber count growing 44% and subscriber revenue growth of 25%. E-commerce was up 23% in Q2 2021, driven by balanced growth across image, footage and music, as well as the strong performance of TurboSquid 3D. Meanwhile, enterprise saw a true inflection in its momentum with revenue growth accelerating to 13%.  This significant acceleration in enterprise revenue growth was driven by bookings momentum, both in our large agency and corporate businesses supported by products like Shutterstock Studios, and our small and medium businesses supported by innovative new products such as SMB FLEX, which allows customers to buy multiple assets within a single subscription. We are truly pleased with enterprise revenue and bookings growth, and are increasingly confident that this revenue channel has turned the corner in terms of sustainable growth.  In closing, based on our strong record second quarter and confidence in the continuation of the economic recovery, we are raising our revenue and EBITDA guidance for 2021. We could not be more excited about the potential of Shutterstock.AI and the unique offering we will bring to market, garnering us access to a large and fast growing market. Furthermore, we expect to bring several more exciting innovations to market this year around tools and creative workflows that we think our customers will love, while continuing to provide Shutterstock customers access to fresh and relevant content, which will soon be uniquely augmented with data and insights to drive performance.  And now, I'll turn the call over to Jarrod.
Jarrod Yahes: Thank you, Stan, and good morning, everyone. Shutterstock grew revenues 19% in the second quarter or 16% on a constant currency basis, our fourth quarter of accelerating revenue growth. Revenues benefited this quarter from the addition of TurboSquid, which added 4% to our growth. Our growth rate also benefited from the comparison to the second quarter of 2020 when demand was negatively impacted due to the pandemic. Constant currency organic growth was 12% for the second quarter. The acceleration in organic constant currency revenue growth in the second quarter is further evidence of demand acceleration, along with solid execution across revenue channels, geographies, content types and industries.  Both our e-commerce and enterprise revenue channels performed strongly this quarter. Growth was led by our e-commerce channel which grew 23% or 16%, excluding TurboSquid. TurboSquid has grown 20% plus year-to-date post acquisition, clearly exceeding our expectations for the business. Our enterprise channels were 13% and accelerated from 5% growth realized last quarter on the back of some of the product introductions and bookings momentum Stan mentioned previously.  From a geographic perspective, revenue was up 23% in North America, 24% in Europe, and 11% in the rest of the world. European growth was strong and accelerated from the prior quarter driven by the UK, Germany and France, which also continued to be favorably impacted by currency movements. The rest of the world had more moderate growth, led by Asia and Australia. However, that growth was negatively impacted by relatively weaker performance in South America. Gross margin improved by 400 basis points to 64% in the second quarter compared to 60% in the second quarter of 2020, and was down 200 basis points from the first quarter per our expectations and commentary last quarter. Gross margin was impacted by the return to growth in paid downloads in this quarter of 2%, an additional month of the inclusion of TurboSquid royalties, and an ongoing step-up in earnings tiers achieved by our contributors over the course of the year. Sales and marketing expense was 24% of revenues as compared to 22% in the second quarter of 2020. This increase is driven from increased investment in marketing spend as well as higher sales commissions associated with our increased enterprise revenue. Product development as a percentage of revenue declined 200 basis points in the second quarter.  However, our product development spend of $12 million was up 12% sequentially from the first quarter of 2021, due to higher compensation costs due to the additional hiring of engineers as well as additional performance-based stock compensation expense. We anticipate that the recent acquisitions and the additional technology hires will increase product development expense in the second half of the year, as we continue to invest in product priorities.  G&A expenses were 16% of revenue, flat from the second quarter of 2020. G&A expenses this quarter included some incremental stock compensation expense associated with our performance-based stock awards. Excluding stock comp expense, G&A expenses as a percentage of revenue declined by 150 basis points compared to the second quarter of 2020, due to continued cost reduction efforts, combined with operating leverage in our business.  The 460 point expansion in adjusted EBITDA margins to 27.9% resulted from the combination of accelerated revenue growth, upside in gross margin and operating leverage across the business. For the second quarter, GAAP diluted earnings per share was $0.79 and adjusted diluted EPS was $1.02, representing growth of 49% and 65%, respectively.  Turning to our balance sheet and cash flows. At the end of the quarter, we had $411 million of cash, up from 363 million at March 31, 2021, and includes $71 million of operating cash flows, offset by $10 million of CapEx and content acquisitions, $7 million of taxes paid on the vesting of equity awards, which were issued on a withhold to cover basis and the $8 million quarterly cash dividend paid in June. Our deferred revenue balance of 162 million increased over $8 million from March 31, 2021 and over $23 million from the second quarter of 2020, representing year-over-year growth of 17%. The growth in our deferred revenue is a strong leading indicator of the future growth and recognized revenues of our enterprise revenue channel, which represents more than half of the deferred revenue balance.  In terms of capital allocation, we will pay our next quarterly dividend of $0.21 per share on September 16, 2021. As previously stated, we plan to grow the dividend in line with earnings growth and plan to revisit the quarterly dividend after the third quarter consistent with last year.  With respect to our share buyback program, we will commence a $75 million annual buyback. We expect this to be an ongoing annual program, wherein we purchase a similar amount each year by dollar cost averaging and being in the market each month over the course of a quarter.  By growing our dividend over time at rates in excess of average equity market rates of return, repurchasing shares on a consistent basis and remaining active in M&A, our goal is to provide investors compounding annual returns that exceed our growth in revenues and operating profit.  Turning to our key operating metrics, they continue to be exceptionally strong for Shutterstock during the quarter. Subscriber count increased by 44%, subscriber revenue increased by 25%, average revenue per customer increased by 9%. Paid downloads were up 2% and revenue per download increased to $4.17 per download. Our image library expanded by 12% and our footage library increased by 16%. Our subscriber growth and subscriber revenue growth are driven by demand for our SMB and prosumer-oriented smaller subscription products, and some of the new products we have brought to market over the past year. Investors should remember that we introduced a range of new video and music subscription products in the back half of 2020, and we expect to lap the introductions of those products and their contribution to our revenues in the back half of the year.  Similar to our commentary in the first quarter, we expect subscriber growth and subscriber revenue growth to come down from current levels in the back half of the year. With that being said, as Stan mentioned, we're really pleased with the market reception of SMB FLEX, and the progress in our pivot towards the subscription model.  Our near-term goals are to introduce incremental value and to differentiate our subscription offerings by using Shutterstock.AI’s data and insights. Shutterstock.AI’s predictive performance solution will be a core element of delighting our subscribers. And we believe this could ultimately result in meaningfully higher retention for our subscription offerings over time.  Before discussing the guidance revision, I'd like to add to Stan's comments on Shutterstock.AI and I would also like to encourage investors to go to the Shutterstock.AI webpage to better understand our offerings. I'm truly pleased that we were able to fill out the data and insights element of our product roadmap with these three acquisitions, and complete all the necessary pieces of the puzzle concurrently.  Shutterstock.AI was created as a discrete legal entity, an acquisition vehicle to acquire these intellectual property assets and will also serve as a contracting entity for our computer vision and predictive performance offerings. In the future, this will allow us to disclose elements of the Shutterstock.AI business as it grows and we see strong reception in the market. While the aggregate cash consideration for the transaction was relatively small at $35 million, executing on these three deals gives us core technology and intellectual property that would have taken us a minimum of three to five years to build internally. We also have an aggressive product integration and go-to-market plan that has us being in market with our predictive performance offering within the next 6 to 12 months.  Therefore, we do not expect predictive performance to meaningfully contribute to revenues or improve retention until 2022. That being said, we are already in the market with our computer vision offering and expect to have some exciting deals to announce soon.  Finally, I'd like to review our revised guidance. Based on the results from the second quarter and a greater level of confidence for the remainder of the year, we are increasing our full year revenue, adjusted EBITDA and adjusted earnings per share targets as follows.  Revenue of $740 million to $750 million, representing 11% to 12.5% annual revenue growth. Adjusted EBITDA of 175 million to 180 million, with annual margin expansion towards the upper end of the previously provided range of 50 to 100 basis points. And adjusted earnings per share of between $2.80 per share to $2.95 per share.  Looking at the revenue growth for the remainder of the year, our commentary remains consistent with last quarter. We expect to see continued steady growth in our enterprise business. However, the quarterly growth rates of e-commerce will moderate in the back half of the year as the comparables become more difficult, and we lap the growth of some of our successful subscription product introductions in 2020.  With respect to margins, implied in our guidance we expect a further 100 to 200 basis point decline in gross margin from the second quarter based on a step-up in earnings tiers achieved by our contributors, combined with expected utilization increases. In addition, we have two major investments totaling $20 million we expect in the back half of the year.  Firstly, we've engaged with several agencies to spend an excess of $13 million in the second half of the year on incremental brand advertising and new product rollout support. We think of this as a long-term investment that will further fuel the top end of our funnel and allow us to carry our strong growth momentum into 2022.  Additionally, we expect to incur approximately $7 million in costs associated with the consumption and integration of the Shutterstock.AI deals we discussed earlier. Those costs include $1 million for advisory and legal costs, $2 million of employee retention bonuses, and $4 million of ongoing operating and integration-related expenses associated with the deals.  Even with the $20 million investment in the back half of the year, we still expect to be at the upper end of our previously provided margin guidance of 50 to 100 basis points of margin expansion as compared to last year. We could not be more pleased with our results for the first half of the year, including the market reception of our subscription offerings, the accelerating momentum in enterprise, as well as the strong profitability we have been exhibiting. The consummation of the three AI acquisitions, and the formation of Shutterstock.AI as a core part of our data and insights pillar, has the potential to open up new opportunities for Shutterstock and uniquely differentiate our offerings in the market. Thank you so much for joining us today. We very much appreciate your time.  Operator, we'd now like to open the line up for any questions.
Operator: [Operator Instructions]. Your first question comes from the line of Youssef Squali with Truist.
Youssef Squali: Thank you very much, and guys congrats on a really nice quarter. Two questions, if I may. First, Jarrod, on just the guidance that you just went through. I think you talked about sequential improvement I guess and the top line driven by enterprise and maybe to a lesser degree e-commerce. If I look at even the high end of your guide of 750, it effectively implies that on just a pure dollar standpoint for Q3 and Q4, they would actually be at or below what you did in Q2. So just wondering if you can maybe peel that onion a little bit for us, any reason for that or is that just out of conservatism?  And Stan, congrats on these deals. Maybe can you just step back a little bit, 30,000 foot view of the business relative to where you guys were, say, last year or a couple years ago, and where you see the business? It seems like the business is pivoting more and more towards AI. These campaigns or these acquisitions seem to be even putting you more maybe into campaign management optimization, particularly with Datasine and Shotzr. So maybe if you can just speak to how you see the business evolve and where you see -- how would you see the business in like three to five years? Ideally, how do you see it, because it's clearly very, very different from where it was two or three years ago? Thank you.
Jarrod Yahes: Sure, Youssef. So with respect to our guidance, I think we feel really good about the guidance raise. $20 million at the top end and the bottom end of the raise I think is something that at this point in the year we're feeling quite confident about the business. We're feeling quite good about the subscription metrics. And yes, to your point, we are feeling quite good about enterprise and the bookings growth that's taking place there. And you can see some of that on the balance sheet in the deferred revenue balance.  As you look towards the back half of the year, I think there's a few things going on. Number one, as we've mentioned several times, we are lapping some of the new subscription product introductions in the second half of the year, and we think that will bring some of the subscription growth metrics down. We are going to face tougher comparables in the back half of the year. So if you look at 2020, by the time we got to the fourth quarter, there was a pretty sharp rebound in demand. We grew 9% in the fourth quarter of 2020. And so as we face those tougher comparables, we are being more conservative as we look towards the back half of the year.  I think as you pull apart the numbers, one of the things you'll see is, if you look at the constant currency organic revenue growth implied by the top end of the guidance, it's somewhere around mid-single digit growth in the back half of the year. And I think at this point in time, that's a zone that we feel quite good about from a guidance perspective and visibility perspective.
Youssef Squali: Okay.
Stan Pavlovsky: Good morning, Youssef. Thanks for your question about the company and sort of strategically where we're going. You're right. We are definitely pivoting the company. But what I would say is, from an industry perspective, the cross section or the intersection of content technology and data is something that's extremely powerful, and something that we've talked about for a couple of years. But at the 30,000 foot level, we looked at what are our customer pain points? And the creative selection criteria is one of the key pain points that remains within the marketing workflow. And so we felt like this is an area that is open and fragmented and really felt like our first party data in conjunction with some of these acquisitions. It could really be a powerful solution for customers as they determine what content will work for their campaigns. So what you can expect from us in terms of pivot is that our subscription products will continue to be enhanced so that customers have not just content, but intelligence around that content. So they can make smart decisions about what will work. But also as I mentioned in my talking points earlier, we will continue to further develop products in the workflow. So you can imagine that we will continue to launch products that indrench us further in the customer's workflow. And everything will be data-enabled to allow customers to make smarter decisions. So we are going to be much more of a technology platform going forward, not just a content marketplace. And we feel that this is going to be a good use of our cash for shareholders, but also we feel like the decisions we're making with these investments will be great for our customers.
Youssef Squali: Thank you. That's actually helpful. Thanks.
Operator: Your next question comes from the line of Andrew Boone with JMP Securities.
Andrew Boone: Hi, guys. Thanks for taking the question. I've got one and then I have a follow up please. As we think about the impact of AI kind of in 2022, can you help us understand how big the impact can be? So said another way, as AI starts to mature, does that decouple Shutterstock from industry growth of 5% to 10%? Can you guys grow faster than that now? Can it materially move kind of revenue growth higher?
Stan Pavlovsky: Yes, absolutely. I'll take this one. This is Stan. Ultimately, everything we do in support of our customers is meant to improve retention and acquire new customers. So this is definitely for us part of the growth strategy that we have over the next several years. So while we're not providing any guidance today on 2022 and the impact that Shutterstock.AI will have, we will do so in Q4.  The one thing I can tell you is that, for example, today we're in market with computer vision services and we have a very robust pipeline. We've already generated several million dollars of revenue and we have a robust pipeline around that. So that hopefully at least gives you a sense of the fact that this is something that we are launching in the near term, but we expect a lot more of the benefits as we integrate these technologies within the marketplace and within our subscriptions over the next, call it, 12 to 18 months.
Andrew Boone: Okay. That makes sense. Thank you. And then on enterprise, bookings growth was pretty impressive, up 6% quarter-over-quarter. Can you talk about just the sustainability of enterprise and the impact from SMB FLEX?
Stan Pavlovsky: Yes. So there is really -- with enterprise, there's really several customer segments that we focus on. On the high end or our high-touch business, we've seen a lot of growth resulting from both increased retention of customers as well as new customer growth, as well as average order value on that growth. And the reason that this is happening is because one, over the last 12 to 18 months, we have completely changed our go-to-market approach. We've brought new services, including Studios, Editorial, News Desk as well as other services to the enterprise. We have segmented our sales team around customer segments. And so we're seeing a lot of success that has been the fruit of our labor over the last, call it, 12 to 18 months and it's really nice to see.  On the small and medium segment, we've been really innovative with new products that support small businesses. In fact, in that segment, we've launched our first multi-asset sub, where customers can buy image, music and footage assets, all within the same subscription or have access to multiple assets within the same subscription, and we're finding a lot of success globally from that product as well. So I guess what I would say is, we're really trying to continue to bring new products to market. And with our recent acquisitions, including 3D, some of these data acquisitions as well as additional new products that we plan to launch for the small and medium business segment, we feel pretty confident that we have a team now in place that can really bring a lot of value to our agency partners, corporate customers, as well as our small and medium business customers.
Andrew Boone: Great. Thanks, guys.
Operator: Your next question comes from the line of Bernie McTernan with Needham & Company.
Bernie McTernan: Great. Good morning. Thanks for taking the question. The investments in AI make a whole lot of sense. I was just wondering from like a competitive standpoint or agencies, are they doing anything with AI and big data and just how differentiating your offering will be? And I have a follow up as well.
Stan Pavlovsky: Yes, absolutely. So many companies are leveraging AI for a number of -- for a lot of purposes and a lot of ways to both automate increased margins as well as drive performance. And media agencies definitely use AI, given the troves of data that they have on behalf of their customers and partners. Our offering is really focused on creative and our data offering is focused on the performance of that creative, which still continues to be a real pain point for customers. It's what do I choose upfront in that process, both leveraging my creative instinct as well as being able to leverage data upfront to really make that process much more efficient. And so when you think about a company like ours, when you show up to our site and you are searching across a library of almost 0.5 billion assets, having those types of recommendations and being able to have more confidence around what content will work, not just performing A/B tests, but actually understanding upfront what's going to work we feel is a real differentiator in the marketplace. But the use and application of AI, machine learning, in our case, computer vision, these are very fragmented use cases across the marketplace and we expect that will be also a major player with AI in the market for creative content and creative performance. The other thing I would just say is as a business, we've been leveraging machine learning and AI for some time with our internal processes. So really what we're doing now is we're taking some of the assets that we've built internally and really commercializing those data assets for our customers.
Bernie McTernan: It makes sense. And then I know we spent a lot of time on last call talking about TurboSquid. So I was just wondering if you could talk about the contribution of TurboSquid in the quarter, how the integration process is going and any early data points on cross-selling to existing customers?
Stan Pavlovsky: Yes, so I'll talk really briefly on the integration, and then I'll let Jarrod talk about the numbers. But TurboSquid has been great. The team is fantastic. Just as a reminder, this is a company based in New Orleans, the largest 3D marketplace in the world. The business has really seen nice growth during this time. We've seen a lot of really nice growth, not just in terms of the volume, but also the unit economics as we see more and more sophisticated models are being used for a number of use cases, as you can imagine for gaming, for special effects, movies, et cetera. And we really do see in 2022, some real opportunities from an integration perspective across the areas that I talked about, right, in terms of the marketplace itself, we want to democratize the use of 3D, which today really requires a skill set that is not necessarily prevalent. So we want to make it much easier for customers to use 3D.  There is also -- in terms of the models, as you think about technologies that are emerging around augmented reality, virtual reality, we feel like we have a real role to play to help the large platforms that are developing really exciting technologies such as self-driving cars, and really mapping out the world with 3D objects. So we do see a lot of excitement and a lot of demand. And what you're going to see from us is integration across all of our sales channels. We'll have offerings, including Studio offerings within enterprise around 3D. We'll have much more self-service offering in e-commerce. And as is always the case, we will leverage our platform partners and platform solutions to do 3D integrations with some of the largest platforms in the world. And Jarrod, do you want to talk a little bit about the contribution of TurboSquid this quarter?
Jarrod Yahes: Sure. And Bernie, just in terms of the specific contribution from my prepared remarks, TurboSquid contributed 4% in the quarter, so $6.8 million of recognized revenue. This is the first quarter where we recognize the full three months of TurboSquid revenue as we closed on the deal at the beginning of February. But I would say that the business has certainly outperformed our expectations from the time of the consummation of the acquisition really as a result of a lot of the tailwinds that Stan mentioned.  So we feel great about the secular industry demand for 3D. We feel great about the company that we've acquired and brought into the Shutterstock family. And I think now we're really going to be in investment mode, integrating the business and making sure that we can leverage the full breadth of assets that we acquired with Shutterstock's channels and capabilities.
Bernie McTernan: Great. Thanks for taking the questions.
Operator: [Operator Instructions]. At this time, I would like to turn the call back over to Stan Pavlovsky, CEO.
Stan Pavlovsky: Well, thank you everyone for joining us today. In closing, we are extremely excited for what lies ahead in terms of innovation around data and insights, workflow innovation, and fresh and relevant content. As always, thank you to all of our customers, contributors and employees. That ends our call for the day.
Operator: Thank you. That does conclude today's conference. We thank you for participating. You may now disconnect.